Operator: Ladies and gentlemen, thank you for standing by and welcome to the LabCorp Third Quarter 2020 Earnings Conference Call. . I would now like to hand the conference over to your speaker today, Clarissa Willett, Vice President of Investor Relations. Please go ahead.
Clarissa Willett: Thank you, Operator. Good morning and welcome to LabCorp's Third Quarter 2020 Conference Call. As detailed in today's press release, there will be a replay of this conference call available via telephone and Internet. With me today are Adam Schechter, Chairman and Chief Executive Officer; and Glenn Eisenberg, Executive Vice President and Chief Financial Officer. This morning, in the Investor Relations section of our website we posted both our press release and an Investor Relations presentation with additional information on our business and operations, which includes a reconciliation of the non-GAAP financial measures to the GAAP financial measures discussed during today's call.
Adam Schechter: Thank you, Clarissa. Good morning, everyone and thank you for joining us today. We delivered strong results in the third quarter as our base business continued to recover and significant progress was achieved to fight the global pandemic. Clinical trial activity is improving and we've had important wins in both COVID and non-COVID-related clinical trials. The Diagnostics business has recovered well as people resume their routine preventive visits, actively care for their chronic conditions and move ahead with elective surgeries and other procedures. Non-COVID-related volume was down approximately 9% for the quarter. As a result, we reported growth in the third quarter versus the prior year with revenue of $3.9 billion, adjusted EPS of $8.41 and free cash flow of $709 million. Throughout the year, our COVID-19 testing has helped to offset the pressure experienced in our base business. This is the first quarter where both the Diagnostics and Drug Development total businesses grew versus prior year. Based on the current and expected strength of our business, we have decided to return the CARES Act Provider Relief Funds. We greatly appreciate the support that CARES Act funding afforded us in the early days of the pandemic when our base business was significantly impacted and the future was uncertain. We are pleased we can take this action now. Glenn will expand on this in a few moments. Importantly, our strategy extends beyond COVID-19. What LabCorp did prior to the pandemic and what we will do after the pandemic remains important to the country and to the world. Our strategy is based on the following long-term priorities: first, leveraging the power of our combined capabilities across Diagnostics and Drug Development; second, advancing our leadership position in oncology; third, integrating AI, data, digitalization and analytics across our business; fourth, putting customers at the center of all that we do; and finally, we will continue to evaluate and execute on high growth opportunities.
Glenn Eisenberg: Thank you, Adam. I'm going to start my comments with a review of our third quarter results, followed by a discussion of our performance in each segment and end with some comments on our outlook. For third quarter results, we have quantified the revenue associated with the COVID-19 PCR and antibody tests, so that you can see the change in the base business. Also during the quarter, we received $76 million in CARES Act Provider Relief Funding, which is excluded from earnings but included in cash flow. As Adam mentioned, we decided to return the funds in the fourth quarter, as well as the $56 million of funds we received in the second quarter. As a result, we have reversed the $56 million CARES Act funds from our earnings in the third quarter. 
Operator: . Our first question comes from Jack Meehan of Nephron Research. 
Jack Meehan: I wanted to start by asking about the base business recovery. It was coming in stronger than we were expecting. Is there any color you can provide around just month-by-month trend throughout the quarter? And then, Glenn, also, if I look at how the base business, you saw the negative impact on volume, but positive on rev rec. Just help us maybe from a test category perspective, what you're seeing as well there.
Adam Schechter: Jack, this is Adam. I'll start with the recovery of the base business. I said it before that, it surprised me how fast the base business has recovered. If you go back to March, our base business at that point was down 55% versus the prior year. And this is looking at Diagnostics. If you then would look at June, our base business was down about 17% for the month of June. But for the quarter, second quarter, it was down 35%. If you look at third quarter, which we've just discussed, we're down 9% for the quarter. So you are seeing sequential improvements quarter-over-quarter. And frankly, we're seeing it month-over-month. So each month is a little bit better than the prior month. So we continue to see that coming back.  With regard to our other business, our Drug Development business, that's coming back a bit slower, not as quickly as the Diagnostic business. What we've seen is the preclinical, early stage work has come back the fastest of the 3 businesses in Drug Development. Last quarter, the central laboratory business was not coming back as quickly as the clinical development business. For this quarter, we've seen a significant acceleration in our central laboratory business and that has actually come back a bit faster than the clinical development business. With the clinical development business, we have access to about 70% of the sites now. So that's better than last quarter, but there's still about 30% of the sites that are not open for access at the moment.
Glenn Eisenberg: Jack, this is Glenn. Just to your other question on kind of the volume being down, but the favorable price/mix being up and Adam, obviously, just went through the volume decline. On the price/mix, as you know, in kind of a normal environment. Diagnostics overall does kind of the 1% to 2% organic volume and then we pick up around a point on favorable price/mix. And obviously, the last couple of quarters are anything but in a normal environment. We have seen favorable price/mix over the last two quarters. We were up around 5% last quarter and now up around 7% this quarter. The biggest driving factor to the improvement in price/mix really has been an increase in our test per session. We've also seen an improvement in the mix. And to your point, some categories, in particular, like women's health or NIPT or hepatitis screening seem to be the bigger test parts that we've seen a higher growth rate than the other. But overall, a favorable mix, but again, the biggest driver being the amount of tests we're doing per session.
Jack Meehan: Great. And just as a follow-up on COVID testing. Could you share your thoughts around the sustainability of the rate you're collecting per detection test? And kind of building off that, your incremental margins in Diagnostics were obviously very strong this quarter. Should we expect that rate to sustain as we go into the fourth quarter? And any thoughts around the durability there would be great.
Adam Schechter: Jack, so when we launched the PCR testing, we had three core principles. The first one was to use science and innovation and build as much capacity as quickly as we could. The second was that everybody would have equal access to the testing. So we charge nobody upfront out-of-pocket cost and we charge everybody the Medicare rate. In fact, when we first launched the test, we launched it before we even knew what the Medicare rate was. And then the third thing was that nobody would be prioritized over anybody else. That as the test came into laboratories, we would do those tests first, with the only exception was when the CDC and HHS asked us to prioritize, so for example, for a hospital inpatients. And I think that those principles have served us well. And we adhere to those principles as we sit here today.  In terms of the longevity, I think for as long as the emergency declaration is here, which now is through the month of January and we'll see if it gets extended after that, I think that the pricing is consistent. You saw recently that there was a slight change to Medicare, where it still will be reimbursed for people up to $100, if your turnaround time is within 2 days. And the good news is our turnaround time is about a day. So that shouldn't have a significant impact on us for that Medicare change. And then we have to see what happens over time with the declaration of the emergency after the end of January next year.
Operator: And our next question comes from Pito Chickering at Deutsche Bank.
Philip Chickering: During the quarter, a lot of COVID revenues flow through to the bottom line. I understand you aren't giving guidance but can you walk us through any new costs that we could see during the fourth quarter? Or if you're considering taking the excess earnings from COVID and accelerating any investments in the near term.
Adam Schechter: Yes. Go ahead, Glenn.
Glenn Eisenberg: Yes. Just a comment for the guidance. It's less of, call it, an issue on the cost. It's more just the significant variance in potential outcomes relative to the business demand. So obviously, we've seen in the third quarter, as Adam and I commented in our remarks, the business is performing well sequentially, ending the quarter even better than where we started. So obviously, at the current run rates, we would expect to see continued good results.  As we enter into the fall, again, the flu season, we just don't know the restrictions that may be in place, what the impact of the base businesses will be going forward. So really, the uncertainty being driven more off of what's the demand of the business, could be continued strength, could be some softness, if we see a pretty bad flu season ahead of us. But overall, the cost structure of the company is in place. And frankly, one of the benefits to the margin improvement is being able to leverage that cost control, while we're seeing enhanced revenues.
Adam Schechter: And just to give you a little additional context. A couple of weeks ago, we were averaging about 110,000 PCR tests a day. Now we're averaging 120,000 PCR tests a day. We could go up to over 200,000 a day if the country needed it during the flu season. If you look at Australia, Brazil, Argentina and some other countries that have gone through the flu season, it hasn't been particularly a big flu season. In fact, it was very small in those countries. Could it be because they were in lockdown for COVID? That would help with the flu season? Yes, very possibly. So without knowing what the flu season could bring and we're just right at the start of it, you could see how much variability there could be.
Philip Chickering: Okay. Then as a follow-up, for share repurchases, historically, you've been fairly measured on your quarterly repurchases. Should we expect a similar activity going forward or because of a recent influx of cash flows could it be more accelerated?
Adam Schechter: Yes. Well, so we've always looked at our capital allocation very carefully and thoughtfully. And our first and foremost thing that we look to do is to buy these tuck-in acquisitions, these local laboratories, local hospital laboratories where we can bring them into our business, very quickly they become accretive. They return their cost of capital within a very short period of time and we know how to integrate them. There are several of those that we're looking at. I can tell you, I believe that there has been an acceleration in the number of those possibilities as we go through this year into next year. And we'll look at capital allocation from that lens first and then we'll be opportunistic where it makes sense with the share repurchases.
Operator: And our next question comes from Erin Wright of Crédit Suisse.
Erin Wilson: Great. On the Covance side of the business, you mentioned 13% of bookings associated with COVID. How should we be thinking about the COVID-related bookings across Covance more meaningfully contributing to top line growth? And then how much is vaccine work compared to therapeutic COVID clinical trials?
Adam Schechter: Yes. Thank you, Erin. So we're making significant progress with COVID on both the diagnostic and in the clinical trial business. Many of the studies -- said that we've done about 300 -- we've won about 350 of those opportunities. Many of them are very early stage, smaller trials, where we're doing in the preclinical work or we're doing design work and those types of things. And then there are others that are late-stage in the vaccine space where we're actively involved at the moment. They are not materially impacting the revenue at the moment. So that's why we didn't call out revenue specifically. But as we go through time, they'll become more meaningful for us.  In terms of vaccine versus the other types of treatments, there's less vaccines out there, but the vaccine trials are much, much bigger than the other trials. So I would say in numbers of trials, most of them are outside of vaccines. But when you look at volume, there's a lot of volume coming through the vaccines.
Erin Wilson: Okay. And then quickly on capital deployment. Again, I guess, how should we be thinking about your positioning as a consolidator in this market in a post-COVID world? Where are there more opportunities or less opportunities in and what does the acquisition pipeline look like?
Adam Schechter: Yes. So I'll start with in the Diagnostic business. One of the things that I've said before that has surprised me since starting as the CEO here last November is that there are lots of opportunities and lots of discussions that occur about acquiring local laboratories or hospital laboratories, but they just take a bit longer than I had expected. I thought that they make so much economic sense for both the laboratory that's looking to be acquired and for LabCorp that I thought they would go faster. So at the moment, there are many more that we're looking at today than what I would have said before, particularly if you look at the size and scale of some of them, but how fast they go is impossible for me to predict because they have, in the past, taken longer than I expected.  In terms of other acquisitions, we mentioned GlobalCare and snapIoT. Those were two acquisitions that would help us with decentralized clinical trials and hybrid trials. We've said that those were critical to our strategy and they were smaller tuck-in types of acquisitions to help with our strategy. So we'll continue to look for smaller tuck-in acquisitions that help us strategically. I do not see the need, as I sit here today, to do any type of very large scale acquisition. I think that we have what we need to be successful and we can augment it with smaller targeted strategic acquisitions.
Operator: And our next question comes from Kevin Caliendo of UBS.
Kevin Caliendo: What are you seeing in terms of the makeup of your base business mix? Is there any changes, if you were to call it out sort of on a year-over-year basis? How much has it changed in any way, shape or form? Or are you still seeing the same type of mix that you had prior?
Adam Schechter: Yes. Kevin, the mix is about the same. What's been interesting is in the beginning of the pandemic, when our base business was down significantly, our esoteric business did not fall as fast as our other business. Last quarter, we said that both businesses were coming back about equal. Now I would say in the third quarter, our base business actually came back a bit faster than the esoteric business. So we're not necessarily seeing a long-term mix shift but we've seen a different impact on the 2 businesses as we've gone through the year.
Kevin Caliendo: That's helpful. And just as a follow-up, you said you were planning to add some capacity to your COVID testing. Can you take us through sort of what that might be? Is 210,000 -- is that where we should think about? And what is sort of the breaking point when you think about turnaround times in terms of how many tests you can do and still get it done within that 48-hour period?
Adam Schechter: Yes. So Kevin, as I mentioned, right now, we can do more than 210,000 tests per day. And our turnaround time today is about 1 day. Now right now, we're testing an average about 120,000 tests. And I would say we could go much higher and I still think maintain our current turnaround time or just be within the 48 hours. The 210,000 does not include our pooling that we're able to do. And if we needed to do more pooling, we could increase that pretty significantly. But also, we're looking at adding additional capacity in terms of machines and capabilities. So as we said from the beginning, one of our core tenets was to build capacity as quickly as we can. We've been doing that since March. In July, there was a significant increase in the number of samples that we were receiving. And no matter how fast we had built capacity, we still fell a little bit behind. So even though right now we're running at about 50% of our capacity, we are not slowing down. We're going to continue to buy the machines that we can buy. And to me, that's the biggest rate-limiting is the number of larger machines that we can get as we go into the fall flu season.
Operator: And our next question comes from Lisa Gill of JPMorgan.
Lisa Gill: Great. Adam, let me just start with the combination of the flu and PCR test. Can you just talk about -- will that count as a COVID test? Or will that count as a flu test when we think about volumes? And then secondly, how do we think about reimbursement for combined tests like that?
Adam Schechter: Yes. Absolutely, Lisa. So we are currently able to do the flu, PCR and also RSV test through physicians. We also notably filed an EUA to be able to do it with our Pixel and our LabCorp At Home test. I think that as we go into flu season, if somebody has a lot of symptoms, it might be nice that they not even have to go to a doctor. Their doctor can send them a test, so they can order a test and get the results. If you look at the Medicare rates, we believe it's going to be about $143 for the combined test. And as we've done in the past, we've used the Medicare rate as our guide as we've gone through the pandemic and the emergency declaration. So we'll continue to do that. With regard to how we record that, Lisa, I think we have to think that through. As we decide, we'll certainly make sure that we talk to you and let the external environment know how we're thinking about it. To date, so we've gotten very few because we're really not in the flu season yet. So there hasn't been a real need at the moment for the combined test.
Lisa Gill: And Adam, how do you think about testing when we do have a vaccine? What's your point of view around -- and I know you're not giving any guidance for fourth quarter or for 2021. But how do we start to think about testing as we have vaccines come into the market in 2021?
Adam Schechter: Yes. So I'll give you my thoughts on it, but anybody that tells you that they have any significant degree of certainty is wrong. That's the only part I'm certain about, what I'm about to say. I believe that we'll have a lot more data by the end of this year to know the effectiveness of the various vaccines that are in Phase III. And that's going to be very helpful. And if we have vaccines that can move forward into the marketplace, I think it could start early next year. But before you could vaccinate a significant number of the population in U.S., I think you're probably talking about the middle of next year, my personal opinion, based upon experience without knowing all the facts. So I think that they're going to need continued testing for at least through the first quarter of next year for PCR testing. I think you're going to continue to need it as you go into the second part of the year. And then by the time you get to the summertime, hopefully, we'll have the vaccine broadly disseminated and the need for PCR testing will be significantly diminished. The two questions we have are: one, we know the pricing relatively certain what it could look like through January. We have to see what the pricing will look like after January. My assumption is that why wouldn't you continue to have the emergency authorization through the winter, but we just don't know that for sure. And then the second thing to realize with the vaccine is we don't know are there going to be antibody tests, titer tests, they're going to be neutralizing antibody tests that might be helpful as people go through the vaccine. So we're developing a suite of tests. We announced last week our test for the antibodies that we give you quantitative analysis used in pharmaceuticals, to try to help understand what might be helpful. So will there be additional tests that we can do to help in the future even after vaccine? My assumption is probably, but we still have to wait to see the data. Is it going to be T cells? Or is it going to be antibody? There's still a lot more we're going to learn over the coming months.
Operator: And our next question comes from Eric Coldwell of Baird.
Eric Coldwell: I just wanted to confirm a couple of things and maybe talk through these. First off, based on your disclosure on the 13% of awards from COVID tests -- clinical trials in the Covance segment, I'm coming up with net book-to-bills this quarter and last quarter of around 1.15 to 1.2. And that's if I also strip out the COVID-19 active infection testing revenue, which I think you're putting in one-for-one with bookings. Is that ballpark? Am I getting to the right numbers here?
Glenn Eisenberg: Eric, I guess, just a question. Are you trying to back out the impact of the award...
Eric Coldwell: Yes. Trying to look at what the -- I think the -- yes, thanks. The big question, I think, everyone has is how much of the awards in the CRO side of the world are coming from COVID-19 trials. And then how much revenue, how much impact, what the comps are going to be down the road. So I'm trying to look at what the -- I hate to say base business because this is all what you do, but the core legacy non-COVID testing and then we also have to make an additional adjustment for the work that would have historically been done in LCD, but it's getting shifted over to Covance central labs. I know you're putting that revenue in at kind of a 1:1 on bookings. So I think if I strip everything out and look at the base, I'm still coming up with book-to-bills for the last two quarters of around 1.2.
Glenn Eisenberg: I think the distinction, though, is that when you -- and Adam kind of commented. We have, obviously, a lot of awards that have come in, a lot of tending to be more on the early side of our business. So when you look at the book-to-bill that's coming in from, call it, the non-COVID testing, but the awards that we're getting for vaccine or therapeutics would be, call it, at a lower book-to-bill, if you will, than what we've been experiencing overall. So if anything, taking out a lower ratio of book-to-bill for at least the awards that we have, you could even argue, could move it somewhat the other way. I think for the businesses that are seeing more on the late-stage clinical trials for those awards, that tend to be longer book-to-bill time periods. You might see a different outcome than what we're currently experiencing.
Eric Coldwell: Okay. And then on Covance margin, getting a lot of inbound questions on what the core margin was if we strip out the COVID-19 testing. I'm coming up with something around 15% in the quarter, but I was hoping you could lend some color on that.
Adam Schechter: Yes. So let me give you some context. One of the things that I had mentioned before is when we saw the decline in our business in Covance, we did not reduce the size and the number of people that we had. And the reason why is a lot of these people are hard to find. They're hard to train. We thought -- and we're seeing the business coming back. So I'd be careful with the margins because the margins are a little bit worse than they typically would be because we're still seeing the revenue come back. But at the same time, we kept a bit of the expenses for the people so that we didn't have to try to rehire and refine people that we already had.
Glenn Eisenberg: Yes. The only thing I'd add to that is that when you -- we've talked about that kind of the organic revenue growth was really the PCR testing. So we would have been flat otherwise. So organically, still a positive, call it, flat in the pandemic, flat organic revenue. So from a margin standpoint, plus or minus, assume that our margins, excluding the PCR testing, would be relatively flat as well. As Adam said, the headwind from, call it, the personnel side of it, but we also have kind of the tailwind from our LaunchPad initiative. In addition, we get some leverage from -- we talked about the currency conversion and some acquisitions that would be additive as well.
Eric Coldwell: Right. And when you say flat, I guess, I'm trying to understand what is it, flat with last quarter, flat with 2H, flat with last year? I am just trying to get a sense on what you're implying by flat.
Glenn Eisenberg: The flat would be in explaining the change in our margins, where we're up around, call it, 200 basis points in margin. Assume that's being attributable to the PCR testing and that margins overall would be relatively flat with the explanation that both Adam and I gave for that.
Eric Coldwell: Right. So around -- you did 14.9% last year. I said around 15%. So that's correct?
Glenn Eisenberg: That's relatively flat. Yes.
Operator: And our next question comes from Don Hooker with KeyBanc.
Donald Hooker: Great. So maybe just two questions for me. Would love to hear kind of an update. We've hit a lot of issues already this morning, but maybe an update on the sort of managed care environment. On a different topic, kind of with the relationship with United, with other -- are those sort of at standstills? Are we seeing some movement there? I know there's a lot of disruption in the markets. We'd love to hear your updated thoughts on that.
Adam Schechter: Sure. So we continue to have a very strong relationship with United. And we were pleased that we were put on to p.r.n. again in July of this year. Frankly, I thought at this time this year, I'll be able to give you an update on how the p.r.n. has worked since we entered into it about a year ago. And unfortunately, with the pandemic, we haven't seen a significant amount of progress, but we are continuing to be optimistic that it makes a lot of sense and we'll be able to work with United to get the p.r.n. up and running and to help them shift the business to where they want to shift it to, which is to the high-quality, lower cost laboratories like ourselves. And the PLN -- it's the PLN, Preferred Laboratory Network, is something that other managed care plans have begun to talk about those types of things. I believe that they -- we're waiting to see if it worked. And now that they've waited a while, even though we don't necessarily know if it works or not, I think we might see more of that as we move forward because everybody realizes the economic advantage of having these PLNs in place. And I think we'll see more and more of it as we go into the future. So stay tuned.
Donald Hooker: Okay. Super. And then one last quick one. You guys -- I guess, the last question was on the COVID-19 testing at the Covance facilities. Does that have any kind of crowding out effect on the rest of Covance? Or is it -- are you not doing work that you otherwise would have done? Or is there any kind of crowding out from driving -- putting some of the COVID-19 testing activity at the Covance business?
Adam Schechter: No. As I said before, we could do 210,000 tests a day. We're doing 120,000 tests. We're using that facility opportunistically. But if we had other things that we needed to do in that facility, we would obviously use other facilities to run the test. One of the good things that we did was to go and run our tests on multiple platforms. So we're running on 8 different platforms. But at the same time, we have a network across the United States that we can kind of have materials and samples sent to the laboratories that will have the best turnaround time. And we can use our network to say, let's send more samples to this laboratory, less to that one, more to this one and we can do it on a very routine basis. So we have the ability to flex where we need to flex.
Operator: And our next question comes from Brian Tanquilut at Jefferies.
Brian Tanquilut: Just a quick follow-up to Eric's question, flipping it to the core Diagnostics business. How are you thinking about margin sustainability once you ex out the COVID opportunity? I mean, obviously, very strong margins during the quarter. So just trying to figure out what you think core margins could be going forward.
Glenn Eisenberg: Yes. Brian, I guess, similar. Obviously, the big driver in the margin improvement, as you pointed out, was the COVID testing. We actually did leverage well, even excluding COVID testing in Diagnostics. This business a little bit, kind of, the opposite on the Drug Development side. As Adam said, we have the personnel for the business that we have. So we have a little bit more of a headwind on Diagnostics because of the significant growth in the business. We continue to add personnel as we're going. So we -- from a personnel standpoint, we really leverage. So with the LaunchPad savings we had in the quarter, margins held up really well, even despite the negative impact of PAMA with the Diagnostics. But strong under, call it, the base business underlying the margins were -- came in very strong.
Operator: And our next question comes from Stephen Baxter of Wolfe Research.
Stephen Baxter: I wanted to ask you about PCR reimbursement. So it's very helpful you provide the precise revenue and testing figures around COVID. So thank you for that. I was hoping you could talk a little bit about what your average PCR reimbursement was in Q3 and how that compares to what you saw in Q2. When I look at your disclosures, I'm backing into something in the mid-90s for Q3, whereas for Q2, I was backing into something more like mid- to high-70s. So just wondering if there was anything in there related to true-up maybe as you got more confidence in your ability to collect on managed care. And an extension of that would just be how we should be thinking about PCR reimbursement in Q4.
Adam Schechter: Yes. Sure. So our reimbursement in this quarter was about the same as last quarter. It was in the mid-80s to upper 80s and that's been consistent. And as I mentioned before, with our three principles, the second principle is that we charge people the Medicare rate, which is $100. As we continue to be in the emergency declaration, which is through the first month of next year, I think the 22nd or something like that of January, I believe we'll continue to have good reimbursement. The question will be, will they continue the emergency declaration? If they do, I believe reimbursement will continue or if they don't, I think we'll have pressure on pricing without the emergency declaration. The other thing is you did see that Medicare is now still reimbursing for $100 per patient, but only if your turnaround time is two days. And you have to average two days for the month before and be two days brings with the test. The good news is that we're at about a 1 day turnaround time. So we feel pretty comfortable with that. But we'll continue as we go through the fall season and we see numbers increase, watch that extraordinarily closely.
Stephen Baxter: Got it. And just 1 somewhat related follow-up. Just on payer mix. Obviously, there's a ton going on with the pricing numbers at the moment. Just wondering if you could give us an update on what you're seeing in terms of any payer mix shift or potentially increases in assumptions around like bad debt accruals and like?
Adam Schechter: Yes. We're really not seeing any significant change in payer mix. It's pretty consistent as it's been in the past.
Glenn Eisenberg: Yes. I think that's the end on bad debt accruals.
Stephen Baxter: Yes, obviously, concerning economic trends across the country. Wondering if you're seeing any increase in bad debt.
Glenn Eisenberg: Good. Yes, I just want to make sure I understood the question, right. Yes. From a bad debt standpoint, obviously, as you know, we reserved in the first quarter, $17 million. We have seen an increase in the bad debt, just given the financial strain that obviously is impacting some of our clients. We feel that the reserves that we've established are adequate, but there's no question we've seen a little bit of a pickup in the bad debt, but we feel our rate that we accrue for is very adequate relative to the expectations that we have for that going forward.
Operator: And our next question comes from Rivka Goldwasser of Morgan Stanley.
Rivka Goldwasser: So Adam, I think earlier in response to a question, you sort of downplayed the role of serology testing once a vaccine is available. Do you think -- do you anticipate based just on historical context any guidelines around use of testing in conjunction with the COVID vaccine? And are you having any conversations with the biopharma company around that?
Adam Schechter: Yes, absolutely, Ricky. And I still believe that the serology testing is going to be important in the future. I just don't think we have the science yet to tell us. Is it neutralizing antibodies, is it total antibodies, quantitative analysis, T cell involvement outside of antibodies. So my only comment was meant to say that there's a lot more science that needs to be done. If it really is, is it going to be an annual vaccine? Or is it going to be every couple of years? If it's more than every year, you'll need titers measured and those types of things. So I think there will be a role.  We're in conversations, I'd say, with most if not all the major pharma companies, conversations with operation more speed and conversations with many other science and thought leaders in this area. So we're building a whole series of potential ways to measure the impact of vaccines. I can't tell you which one is going to work. But I can tell you, if there is something, which historically there has been, we're going to do everything as we can to be ready for it.
Rivka Goldwasser: Okay. So just to clarify, because if we think of one of the questions we're getting is kind of like what are the drivers, right, in the second half of '21 and into '22 post-PCR? So to your point, there's going to be some sort of testing that's going to replace PCR? Are you just at this point, we don't know which test it's going to be?
Adam Schechter: So I think there will be some. But Ricky, what I would say is that I look at the PCR testing almost as like a short-term opportunity in a period of time. And then once that's gone, there's going to be some type of impact to the ability to grow. But what you're going to want to look at is our underlying business. So I mentioned that we have 1 oncology trial for major pharma company. I mentioned that we're starting to see the power of the combined based on what we've done with the COVID testing. What we're looking to show you is the proof that says that having Diagnostics with Drug Development matters, which you're really starting to see now.  We won more than 350 or approximately 350 COVID trials, which is a very significant number of the total trials. And what you're going to start to see is that translating into our core business changing. So yes, I do think there will be some things that we'll continue to do with COVID testing over time, with vaccines and so forth. Whether that completely offsets PCR testing, I don't know. I mean, it depends on what it is, how often you do it and so forth. But importantly, the work and what we're showing with our underlying business is going to be where you'll see growth as we go out into future years.
Rivka Goldwasser: So then if you think about that, the pandemic clearly increased focus on the critical role of testing. Are you seeing this filtering already into discussions with health systems and payers beyond the COVID impact?
Adam Schechter: I think people have a new recognition for the importance of testing and the importance of testing combined with Drug Development. And you already hearing people talk about antibiotic resistance that could be occurring based upon treatment of COVID and other things. And I think there are going to be other bugs that we're going to have to figure out how to detect and how to treat in the future. So I do believe that the world now has a different view of the importance of diagnostic testing.  And one of the things that I'm going to be advocating for very strongly is the removal of PAMA. There's no impact of PAMA for next year. But I think it should be removed entirely because I think part of the reason that we were not as prepared as we needed to be for this pandemic is because for years, people underestimated the importance of diagnostic testing. They starved the diagnostic testing business. State laboratories, for example, were using machines that were so old and antiquated that we need government and payers to understand that for us to have excess capacity, for us to have dual supply chains, for us to have the latest and greatest innovations, we need to continue to have fair reimbursement.
Operator: And our next question comes from Matt Larew with William Blair.
Matthew Larew: Adam, you referenced the sequential improvement in the base business Q2 to Q3, despite a second wave and then further improvement here in October despite record case consent in recent weeks. So just kind of curious what the key underlying improvements you're seeing. Is it as simple as PPE being available when offices are open? Curious about that. And then maybe just comment on demand trends in some geographies for perhaps a peak has already occurred. Are there places where you're actually seeing year-over-year growth at this point?
Adam Schechter: Yes. Matt, so we have seen some sequential improvement months-over-months. When the country shut down back in March, we saw almost all physicians offices or many of physicians offices shut down. And it took them a while to move over to telemedicine, frankly. And we saw the hospitals that were pretty overwhelmed and didn't have PPE, didn't have enough ventilators. And therefore, it was hard for people to get routine procedures and so forth. What we've now seen is even in areas that have a significant outbreak, the physician's offices still stay open or they have significant capabilities to telemedicine to keep people getting routine care. We've seen that the hospitals are able to now have enough PPE. They continue to do routine surgeries and procedures and so forth. So unless you saw a major shutdown of the health care system again, I think that you'll continue to see the sequential improvement. The only caveat I have is if it's a really significant flu season and physicians' offices are path of people coughing and sneezing and you don't know if it's flu or COVID, I think people may once again say, you know what, I'm going to wait to get my routine care. So that's why I'm hesitant to say what I think will happen in the coming months because it really, to some degree, in my opinion, is going to depend on how hard a flu season we hit.
Matthew Larew: Okay. I appreciate that. And then maybe just actually following up on the point you raised regarding flu season. Obviously, understanding that it's very early here, but just curious what you're hearing from your preferred physicians or maybe your own medical team about what preference will be for flu versus the combination test, whether it's for symptomatic or asymptomatic patients? Obviously, there's a variety of both modalities and test combinations that are now available.
Adam Schechter: Yes. So first thing, to answer your other question about geography, we're not really seeing a significant difference by geography based upon outbreaks. We're seeing pretty consistent growth. Some geographies are using more point-of-care tests, some are using other laboratories and so forth. But in general, I don't think you see a major difference in geography for us. With regard to the demand by test, I think for asymptomatic patients, they'll continue to do the COVID test alone, if they've been exposed to somebody or if they've been in contact with somebody that has the disease. I don't think there's any reason to do multiple tests if the person doesn't have symptoms. I think if somebody presents themselves in a doctor's office, they may do a flu point-of-care test. And if it's positive, they may say, okay, go home, take care of yourself. And if it doesn't resolve itself, we'll have you tested for COVID. I think in some situations, even for a positive flu test, they are going to say, you know what, let's just test you for COVID and flu anyway, just to be certain. If you have a negative flu test point of care, I think they're certainly going to test you for COVID if you have symptoms. And then the question is, will they add on a flu test because they know sometimes you get false negatives with the point-of-care test and it may just be easier to say let's add a flu test on there. So we're preparing for all of those different scenarios as we go forward. I think that the majority of tests will still be COVID alone, but there could be a significant number, particularly for symptomatic patients that are in combination for flu and/or RSV.
Operator: And our next question comes from Dan Leonard of Wells Fargo.
Daniel Leonard: So first off, how would you characterize any efforts you have underway to maintain your share of COVID molecular testing as it seems that there are new labs and new entrants spinning up all the time in this market?
Adam Schechter: Yes. Dan, so if you look at our share, I'll first start off with ACLA laboratories. So we get a sense ACLA reports the total number of tests. I know what our actual number of tests are, so I can calculate our share and we have a very strong share of ACLA labs. And in fact, it's growing slightly if you go quarter-over-quarter. The question you're asking, though, is with more point-of-care tests out there, with additional local laboratories, what could the future bring? What I would say is, to date, we haven't seen a very significant impact. I think this country needs as many tests as it can get, frankly. I think there is a need for point-of-care tests. I think for surveillance, having antigen tests available are helpful. I think in hospitals and nursing homes, you want faster tests to actually do surveillance. And then if you have positive cases, you do PCR test. So I actually think there's a role for all the different types of tests that we have in the marketplace. To me, the question really is what was asked before, which is once there's a vaccine, what does the role of testing look like? And that's where it's a little difficult to answer because what if a vaccine works in 70% of people and doesn't work in the other 30% and 1 of only 70% of people get the vaccine, so there's 30% that don't get it in the first place. Well, you still have a lot of people in that scenario that would want PCR testing over time. So we still have to learn more for that scenario.
Daniel Leonard: I appreciate that. And then, Adam, for my follow-up, I appreciate that there's uncertainty around the market demand for the combo test as opposed to COVID stand-alone. But if demand for the combo test came in higher than you'd anticipate, how would you characterize your capacity on that test at LabCorp to meet the demand?
Adam Schechter: Yes. Dan, I can tell you, at a meeting with the team, I think, it was last week and we're continuing to have ongoing discussions. And we're gearing up for as many tests that we might need. When I talk about 210,000 capacity, it's the reagents that are a bit different, not necessarily the machinery. So as long as we have reagents to do those tests, we should be able to do as many as that if we need to. So we're going to continue to build the capacity and then we'll have -- we're trying to get enough reagents that we can go either way if we need to.
Operator: And our next question comes from Ralph Giacobbe of Citi.
Ralph Giacobbe: Great. Glenn, I wanted to go back to your comment on increasing test per session. Do you think that's a consequence of COVID where physicians are sort of ordering more panels even outside of COVID and do you think there is sustainability of that where you get kind of a continued uplift there?
Glenn Eisenberg: Yes, Ralph, call it, speculative, but the feeling is there's probably been a fair amount of pent-up demand as people haven't been going for especially the routine testing. And so now as they're coming back, they're doing more tests, if you will, per that session is, call it, a catch-up, if you will. So we have seen it. We've seen it for the last couple of quarters. It picked up in this quarter. The assumption would be, obviously, that, that would start to come back down, still be a positive favorable price/mix for us, but probably not to the levels that we've seen at least over the couple of quarters, but we'll have to wait and see.
Ralph Giacobbe: Got it. Okay. Makes sense. And then just quickly on -- if you could help on the volume mix of COVID. First between, if you could split out commercial versus Medicare versus Medicaid in terms of the volume mix of COVID. And then if you could also help across where it's essentially coming from between drive up sites versus employers versus universities versus health providers. I don't know if you have that breakout, but it would be helpful just to kind of understand where the volumes come from.
Adam Schechter: Yes. So let me start with the second question first. The vast majority of the tests that we do, I'm not talking about all the tests in the marketplace, but the ones that we do are still coming from urgent care centers, from physician offices, from people that are treating patients. We do some, obviously, from employers. We do some for hospitals still, but the vast majority is in those physician offices and in the urgent care centers, those types of places. We continue to see Pixel doing well. It's about 5% to 10% of our volume. And some of that is with employers, but a lot of that is just people ordering at home tests and we expect that will continue to be a good portion of our mix. And then if you look at the breakout, it's not too different than what you would expect the overall breakout of our business to be in terms of reimbursement because it's coming primarily from urgent cares and physicians.
Adam Schechter: So I want to thank everybody for joining us today. Hopefully, you can see that LabCorp is leading with science. And I believe it's never been more important or more apparent than right now as we continue our unwavering commitment to our mission of improving health and improving lives. I can tell you that our team will continue to partner with our customers, our suppliers, other organizations who share our commitment to lead the way through this crisis. And at the same time, importantly, at the same time, we're going to continue to execute on our strategy for growth, which remains our long-term consistent strategy. We appreciate your time today. Have a great day.